Operator: Good morning, ladies and gentlemen. Welcome to the presentation of Enagás’ earnings for fiscal 2021. The results were released this morning before the opening bell and are available as usual on our website at www.enagas.es. Mr. Antonio Llardén, Chairman of Enagás will host this presentation. We expect this presentation to last about half an hour. Afterwards, there will be a Q&A session and we will try to answer all questions as fully as possible. Thank you very much for your attention. Now, let me give the floor to Mr. Antonio Llardén.
Antonio Llardén: Good morning, ladies and gentlemen and thank you for joining us today. Let me start this conference call with two company highlights. Firstly, officially, we are welcoming Arturo Gonzalo Aizpiri, who on my proposal and following yesterday’s approval of his appointment by the Board of Directors, is now the company’s new Chief Executive Officer. I would like to publicly convey my gratitude and that of the entire team to Marcelino Oreja for his work as CEO of Enagás over the past 10 years, in which he has made a key contribution to the company’s international profile. As I will explain later during my presentation, when talking about 2030 outlook, the company is now in a new phase with two very clear aims: a time of transition for the entire energy sector and a firm commitment to decarbonization. It is in this new context that Arturo Gonzalo joins the company today. He has extensive experience, very well-known in our industry and in the IBEX 35 after a very long career in various senior management positions in the energy sector. And more specifically, he has a profile that is fully aligned with the new challenges that Enagás is facing as he is an expert on energy transition development and regulatory matters. Enagás has been preparing to face major challenges of the energy transition for some time now and Arturo’s appointment is in line with our strategy to accelerate the company’s contribution to decarbonization and to be a key player in this process. We are ready for transformation and Arturo Gonzalo will bring great value to the company and to building the future ahead of us. Today, I am also delighted to make another announcement with you and share it with you that is fully aligned with Enagás’ new phase. The fund Clean H2 Infra Fund, managed by Hy24, an investment platform owned by Ardian and FiveT Hydrogen was added to Enagás Renovable’s shareholding structure. Clean H2 Infra Fund aims to be the leading global clean hydrogen investment fund in Europe. So this is a very important and very positive transaction because it will enable us to grow more and advance faster in renewable gas projects, thanks to the financial boost that this partner will provide us with. Its incorporation is proof of our real and strong commitment to decarbonization. Beyond these important developments, let us remember that this is a presentation of the annual results so we’ll summarize Enagás’ results in 2021. And I’ll also share our outlook until 2030 beyond our strategic plan until 2026. So also here with us, as usual, are the Chief Financial Officer, Borja García-Alarcón; the Secretary General of the Board of Directors, Rafael Piqueras; the Directors of the Investor Relations team, Antonio Velázquez-Gaztelu and Cesar Garcia Del Rio; and the Director General of Communications and Institutional Relations, Felisa Martin. So fiscal 2021 was a year when economic recovery around the world was affected by huge global uncertainty and market volatility. Energy, in particular, was in the spotlight and faced an extremely complex year due to various factors ranging from metrological to geopolitical factors that are well known by everybody and that are also taking a toll in 2022. In such a difficult fiscal year, Enagás performed well. And proof of this is that we, once again, met all the objectives set at the beginning of the year. So we have been doing so for 15 years running since 2007 and we are particularly proud of it in the current context. As international energy scene is the most topical issue, instead of starting directly with the results and some key financials, I will first talk about how, we, in the company, have dealt with this context. In fiscal 2021, there was a high demand of gas worldwide. In Spain, total natural gas demand grew by 5.1%, supported by conventional demand, which accounts for virtually three-fourths of the country’s total demand. And this conventional demand increased by 6.2%. Enagás has operated at 100% with all of its facilities, both in terms of infrastructure availability, displaying a more essential role than ever and in the coordination of the gas system as such, always in coordination with the Spanish administration. We have taken all possible measures to anticipate upsurge to the situation and help guarantee supply, even in the most exceptional circumstances, such as the Filomena storm that we kicked off 2021 with, or the shutdown of the Maghreb–Europe Gas Pipeline. So among these measures, the extraordinary auctions that we carry out with the aim of promoting LNG offloading at Spanish regasification plants, making the maximum possible capacity available to the shippers that bring natural gas to Spain stand out. So for this winter period that runs from November to March, 145 offloaded lots have been auctioned and contracted against 86 vessels offloaded the previous winter. We closed the fiscal year with 100% capacity contracted in plant tanks and 54 more LNG stocks than in fiscal 2020. Underground storage started the winter in turn being 82% full. And after the start of extraction campaign, it closed 2021 with 65% stocks, which is above the EU average. I would also like to provide you with some data that reflect the importance of the regasification plants that make it possible for gas to reach our country from any part of the world, providing greater flexibility to Spain’s supply. In summary, in 2021, our main supplier was Algeria, which is a highly reliable supplier with 42.7%, followed by the United States with 14.4%; and thirdly, Nigeria with 11.4%. In January, Spain received gas from different countries by ship or pipelines. This diversification is possible thanks to the fact that Spain has 7 LNG plants out of approximately 20 that we have in Europe. And in Europe, 30% of the storage capacity is in Spain and 25% of the continent’s regasification capacity is also in Spain. So in terms of energy security, our country is a little better off than the rest of Europe, which provides reassurance and confidence in the current context. Now let me share with you the most relevant figures of the fiscal year, and I’m certain that you already have all the information that was already filed with the CNMV. Our net income was €403.8 million, therefore, exceeding our target of €308 million. Therefore, in the first year of regulatory reform at Enagás, we were able to cushion its impact on our regulated revenue. This has been largely due to the excellent performance of our affiliates, which contribute already 40.4% to our net income. Let us remember that 1 year ago this contribution stood at 28% only. And this was also due to our discipline and continuous improvement in efficiency, which has enabled us to turn on costs, both operational and finance costs without having to lay off anybody in the company. So specifically, our finance costs, and this is also something to be highlighted, fell to 1.7%, down from 1.9% at the closing of 2020. What’s more, our strong cash generation 2021 enabled us to meet our full year debt targets. To this end, the contribution of the affiliates to the cash flow of €230 million was very important. We have an excellent liquidity position standing at €3.3 billion at December 31, which enables us to comfortably meet our financial needs and which is, of course, essential at times like this, because it provides stability in the face of market volatility. In addition, we have decreased our leverage by reducing debt slightly. So in conclusion, we obtained good results. All of our targets were met and even surpassed. We also evolved very positively, therefore, showing Enagás’ resilience and adaptability, and also the performance of its professionals. Now on international business front, our affiliates have performed very well and have improved their results by 24% compared to 2020. There have been some key contributors to this, such as the positive business performance by Tallgrass Energy in the United States and the Trans Adriatic Pipeline in Europe, which adds to the company’s results for the first time for the full financial year following its commission at the end of 2020. So our international assets are playing an important role to contributing to both security of supply and decarbonization in the countries where we operate. And you have all the details of the milestones of each of the affiliates in the presentation. Now talking about ESG, in 2021, we also strengthened our commitment and leadership position in terms of ESG criteria, making significant progress in our contribution to decarbonization. In line with science and the 1.5 degree scenario, we have updated and increased the ambition of our climate targets. That is to reduce our emissions by 74% by 2030, reinforcing our commitment of being a carbon-neutral company by 2040 and we also intend to decarbonize our value chain. For that reason, we have set ourselves the target of reducing indirect Scope 3 emissions 25% by 2030 and 50% by 2040. It’s the first time that Enagás is undertaking this commitment with regards to scope 3 emissions. And there are not many companies doing this. So this is the first time that we are actively playing a role here. So we are on the right track to deliver on such commitments. Since 2014, we have reduced our scope 1 and 2 emissions by more than 54%. And decarbonization that we are proposing for our value chain is also partly supported by the consolidation of renewable gas projects we are promoting. Through our affiliate Enagás Renovable in 2021, we were able to keep a very intense activity by presenting different projects to the various Expressions of Interest by the government, signing agreements and maintaining permanent contact with regional governments. We are closely following the calls for proposals that have already been issued and that will be issued in the coming months. as recently announced by Prime Minister, Pedro Sanchez, some of them would do so perhaps this week. Some of these projects are already becoming a reality such as Green Hysland in Majorca, which has already generated the first green hydrogen molecules in test from the photoelectrocatalysis project by Repsol, which has been supported by the European Commission or the UNUE project in Burgos, which is a first private industrial biomethane facility to connect to the Spanish gas grid. All this, together with the various milestones during the year in the 3 areas of ESG, that is environmental, social and governance, which are detailed in the presentation that you have been given and which have been recognized in the leading positions we hold in the world’s main stability indices. Now very quickly, let me share with you our longer-term view of the company. This road map to 2030 responds to the fact that we are well aware that the things that happened in Europe over the past year and those that continue to happen show that we are at a turning point in the global economy and we are undergoing the transformation in the energy sector. In 2022 and beyond, we will experience some decisive years, when the future of the industry and, therefore, of our company will be redefined. The hydrogen and gas market decarbonization package published by the European Commission in December highlights the central role of transmission systems operators in Europe’s decarbonization. And this is where you can see Enagás’ future in the coming years as a company that can make a significant contribution to this process. Firstly, because of the importance that Europe recognizes for gas infrastructures in energy transition, a network that we will progressively decarbonize and adapt to the transport of renewable gases such as hydrogen, which will coexist with gas during the transition. Until we can create a hydrogen transmission network made up largely of adapted pipelines and also new sections to be built and opportunities for export to Europe. Secondly, because our role as a TSO is fully compatible with the figure of the Hydrogen Network Operator, HNO, that Europe is proposing for hydrogen deployment. And here we are already very active, and we are working in coordination with other European TSOs through the so-called European Hydrogen Backbone initiative. And thirdly, to conclude, because of the role we can have in creating and promoting a market for renewable gases that is yet be done. Enagás Renovable is well positioned with a portfolio of more than 50 projects, together with 70 permits, with a total investment to be mobilized close to €4.5 billion. All these projects can be accelerated with the help of a financial partner as the one I described at the beginning of my conference. So based on these three areas, the company has established four lines of investment between now and 2030, that are related to this new phase in Europe: first, adaptation of gas infrastructures, a dedicated hydrogen network and participation in renewable gas projects, new businesses and cutting sustainable technologies and development of the international market, contributing to decarbonization with renewable gas projects in the countries where we operate. In this decade, and as regulatory, technological and market uncertainties fade out, these new businesses will take off and those that are associated with decarbonization and contributing to our goal of zero net emissions by 2040 will have an increase in weight. Investment will be adapted to the progress of the climate agenda in the various regions where we operate and to the development of hydrogen markets, renewable hydrogen, taking into account the necessary coexistence during the transition from natural gas and renewable gases. Well, more information is available in the presentation. This is just an outline. During the course of this year, we will be elaborating on some of these points with more information, and we will also perhaps hold a more focused presentation on this topic in the middle of this year. With regard to the 2022 to 2026 period, which is the period covered by our strategy plan, we confirm all the concrete commitments we had undertaken. As you can see from the presentation, discretionary cash flow generated without additional investments presents enough slack to ensure commitment to our dividend policy and continue growing sustainably into the future. In addition, we have high visibility of expected contribution of our affiliates, as they are regulated assets or protected by take-or-pay contracts. We estimate an average of €280 million per year in the 2022 to 2026 period. I will briefly comment now on the prospects of some of these international investments, for example, DESFA in Greece. In 2022, we expect a new national infrastructure development plan will be approved for 2022 to 2031 with a significant investment that will allow for greater gas penetration in the country while facilitating energy transition of the so-called phase-out of coal. Another example is Quintero LNG plant, which is well positioned for the development of new green hydrogen projects in Chile, or Trans Adriatic Pipeline, where there are open seasons that could lead to future expansion, including potential additional investments to blending of hydrogen. As for TGP, well, it’s making steady progress, thanks to the positive evolution of the U.S. market as well as due to growth opportunities. The company therefore ratifies its targets for the 2022 to 2026 period. In addition, two major projects linked to decarbonization have been announced, commercial scale CO2 capture and storage hub in Wyoming and a pioneering hydrogen-to-power project. This is a first power generation plant that will operate exclusively with clean hydrogen in the United States. Now going back to the key financials, another commitment that we ratify is our dividend policy until 2026. We believe that this is the best proof that commitment to our shareholders is one of our strategic priorities. Let me remind you of this commitment. In 2022 and 2023, we will increase the dividend by 1% each year. And for the 2024 to 2026 period, we will maintain a sustainable dividend of €1.74 per share at least. This clear visibility of our dividend until 2026 is very positive in such an uncertain environment and a good sign of the company’s sound foundations. Now going from the more general to the more specifics, and now I will give you a couple of facts about the 2022 financial year. We estimate an income of around €430 million, accounting for growth of 6.5% vis-à-vis 2021. As you can see in the presentation, this profit includes capital gains derived from our asset rotation process such as the closing of the sale of the Gasoducto de Morelos in Mexico and also the entry of a partner in Enagás Renovable. Regarding the company’s cash flow, we expect our strong cash generation will enable us to reduce once again debt slightly for the second year running. It should be noted that recently the Board of Directors of Tallgrass Energy approved the first dividend distribution for 2022 in the amount of $75 million, of which $22 million correspond to Enagás in accordance with our stake in the company. As mentioned above, this strong cash generation enables us to once again the dividend for another year in line with our policy until 2026. And in closing, let me share some conclusions with you. In 2021, Enagás performed well and met its targets in a year of great global uncertainty that was very complex for the energy sector. In this context, the company played a very important role, contributing to the security of energy supply in Spain and the countries where it operates. We continue to make progress in terms of decarbonization and in terms of ESG, reinforcing our 2040 carbon neutrality commitment, pursuing new targets to decarbonize our value chain and by accelerating more than 50 renewable gas projects. The new European regulation recognizes the key role of TSOs such as Enagás in achieving decarbonization targets and of gas infrastructures in enabling the deployment of renewable hydrogen. So as for our 2022 to 2026 outlook, it confirms all the concrete commitments made and foresees sustainable growth in the future thanks to strong cash generation. Strengthening the balance sheet and shareholder remuneration remain our strategic priorities. At Enagás, we have a track record of 15 consecutive years meeting our long-term commitments. And this is something that we believe is well recognized by investors. Between 2007 and 2021, the total return for an Enagás shareholder stood at above 180%. We are entering a transition period in which Enagás will play a key role and we have great challenges on which we are already working. Both the appointment of the new executive officer, who is next to me at this conference call as well as the transaction that I announced at the beginning of my address are good proof of the fact that we are making steady progress. Thank you very much for your attention. And now, we will answer any questions you may deem suitable. We will try to answer those questions as thoroughly as possible. Thank you very much.
Operator: Thank you. [Operator Instructions] The first question comes from Javier Suarez from Mediobanca. Please, Javier, go ahead.
Javier Suarez: Yes, hello. Good morning and thank you for the presentation. I would like to ask, first of all, about the agreement with the Ardian Fund for their sale of 30% of Enagás Renovables. And the question is about the timing, why has the company decided to sell right now 30% of the company? It could be argued that the company is taking its first steps. And wouldn’t it be better to maintain the ownership of 100% of that company and then sell 30% at a time – different time in its development. Because with hydrogen, there are many ideas, but real investment is limited. So could you perhaps explain the reasons for the timing of this decision? Thank you very much. Regarding the cash flow that’s been seen on 22, Page 22 of the presentation, there is a commitment of €484 million. I would like to know how much of the investment is going to be devoted to hydrogen-related activities? And also a question third question, about the consolidated equity. If I remember, last year you talked about €250 million as a contribution and €280 million is the figure for 2022-2026. So could you help us to understand why that guidance is going up and to what affiliate it corresponds? And lastly, I would like to ask more about the affiliates in Peru. There has been a change in the government and there are some problems for repatriating dividends from affiliates. Could you talk a little further about the situation in Peru? That would be very helpful. Thank you.
Antonio Llardén: Thank you, Javier Suarez. I will answer the first question. Let’s see. With the arrival of Ardian with these funds in Enagás Renovable, this is not an asset rotation that we want to sell a part to get capital gains. This is a strategic movement, and as Javier Suarez rightly said, we are really at the beginning of an investment process. All of us, all of the players are interested in this. These investments have not been made yet, and we think that this is a relevant moment when it’s a good idea not to be alone. And why not have one of the most important funds with us. They want to have an important role in the hydrogen world. So we think that this is a good moment. We could wait a year or two, continue working alone, but we have decided that we prefer to work from now on right away with an important partner in order to progress with this project. In response to the other questions, cash flow contributions and such like. I would ask the Chief Financial Officer to answer. As you understand, the CEO is listening attentively, but it is not for him to answer quite yet. So Borja, perhaps you could give us some information.
Borja García-Alarcón: Thank you, Javier. Good morning to everybody. First of all, with regards to the dividends coming from affiliates, the change that we could talk about is the contribution of Quintero, and this is a good indicator, it’s a protection that we have at an international level. And secondly, cash flow that’s presented in the results. Well, this refers to the committed investment of €484 million that appears in that cash flow. We have to add to that to get the total investment. We’re talking about €65 million that has to be added, which is the cash because of the Morelos pipeline sale. So this gives us €555 million as a net figure. So €400 million for regulated and gas activities, €150 million for intended services that are carried out and for the investments committed already in Enagás Renovable. With regards to Peru, the information has been provided in previous presentations. There are no changes in those figures.
Javier Suarez: Thank you very much.
Operator: The next question is from Alberto Gandolfi from Goldman Sachs. Alberto, your line is open.
Alberto Gandolfi: Thank you very much and good morning. Thank you for answering my questions. I have three also, please. First of all, talking a little bit about the subject of hydrogen and green gas, thank you very for sharing your very interesting vision with us. The €4 billion is always the same figure, but it seems that we are reaching a time of greater visibility for these investments. The President has talked about things for the summer. Would it be possible to understand the time scale for the investment of this €4 billion? Is it a 10-year, 15, 20, 30-year investment? Just to get an idea of the level of yearly investments we might expect for the company? And secondly, these investments are being carried out. We are going to see lower cash, lower profits perhaps. There is potential €4 billion for investment. So I’m wondering how the case and the investment in Enagás, how could it change? I mean, so more investment would probably need a dividend policy which might be different. Would this be a reasonable assumption as an expectation to imagine a dividend which could be much lower, but on the other hand with a growth in profits which will be higher perhaps than we have now. And the last question, I’m a little surprised in the slide you talked about Tallgrass and its figures. It seems that the debt of Tallgrass is $6.2 billion. It seems more 9x. So I was thinking, on the one hand, while we have one part of the income, the cash received from these investments could be used for recapitalization of Tallgrass and the risk could be lowered. That’s all. Thank you to Marcelino for all of his hard work and welcome to Arturo.
Antonio Llardén: Thank you very much, Alberto Gandolfi. First of all, if we talk about from now until 2030, and this vision, well, right now, nobody can provide specific time lines. The Spanish government – well, I mentioned this in my presentation, they have announced already, and in fact there are some subjects for projects that have already been brought to tender. And no doubt, in this week or the following week, we will hear specific information about requests for hydrogen projects. This would mean that, well, we expect that in 6 to 8 months, we could have for the whole sector, we could have more specific information about the pace of hydrogen projects in line with the EU and the funds that we may see beginning during 2022 to 2026. So that’s why I said that we expect that maybe halfway through the year, maybe in the summer, we might be able to hold a more specific meeting when we have more information about this. So that would be the first question. And secondly, the €4 billion that we talk about, it’s referring to the whole or all of the investments that all of the partners in different projects would have to make. Right now, it’s difficult to say the period or establish a period, maybe we’re talking 8 to 10 years, that would be quite logical, even if we say 8, there are specific milestones and objectives that are being set out by the EU from now to the 2030. Right now, it’s 2022. In my opinion, this could speed up as time goes by. So right now, it’s not possible to say exactly what the time scale is. But maybe in 1 year or maybe in 1.5 years, we will be able to provide a much more precise answer. The second point indeed, we do have asset rotation in order to make the most of opportunities with assets that are perhaps at a maximum efficiency. Logically enough, when you sell sensing, you have reduced income. But it’s clear that we have a very clear idea that we want to continue with our investment policy with efficiency and positive results, which will help us to maintain this balance between investment and dividends. And this is something that will be studied every 6 months or a year in detail. With Tallgrass, perhaps the Chief Financial Officer, should answer.
Borja García-Alarcón: Thank you. The ratio that appears of €4.3 billion, €4.5 billion debt net EBITDA, this refers to not consolidated, but operating debt. The consolidated debt, just to be precise is below 7.5x. It doesn’t reach the figure that you indicated.
Cesar Garcia Del Rio: Thank you very much. We will continue with the questions. [Foreign Language] 
Operator: The next question comes from Javier Garrido from JPMorgan. Your line is open, Javier.
Javier Garrido: Good morning. Thank you for answering my questions. To continue with Tallgrass, if you could give us more information about the progression of business? They have an objective that we’ve seen the EBITDA target of €760 million, which is in line with the €653 million from 2021 – €753, sorry. A part we’ve seen would be attributed to a minority and with the contracted capacity in gas. Well, with regards to all of this, does this reflect the fact that there is pressure on the tariff even though energy prices have gone up? And with regards to Tallgrass, perhaps you could shed some light on the dividends that are expected to be distributed in 2022 after the one we’ve seen of $75 million. Another question about OpEx, if you could give us some more details about the movement because I understand that with the cancellation of the contract for gas transport to Portugal, we would have seen a drop in OpEx compared to other businesses. It would be very useful to understand what has led to this drop that we’ve seen? And are we talking about a bigger drop in OpEx because of the elimination of this contract. And lastly, another question about Enagás Renovable, we have heard some details, but could you clarify the injection of funds. Maybe I missed it in the presentation, I saw capital gains of €46.9 million, but what’s the injection of funds from the financial partner in Enagás Renovable. Thank you.
Antonio Llardén: Thank you, Javier Garrido, for those questions. I think all three are very specific, and I suggest that the CFO, Borja García-Alarcó, should answer the three questions. Borja?
Borja García-Alarcón: Thank you. With regards to Tallgrass and business for 2022, we have forecast which is similar to previous year, ‘21, and this is based on business that recovers. Bearing in mind that in 2021, there was extraordinary impact of weather conditions at the start of the year and the future development of the company indicates core business, which will be stabilized, and the future will depend on the growth CapEx as the company has said on several occasions. With regards to the dividends that we’re going to receive from Tallgrass over the year, we hope that they will be between €40 million and €60 million. And as the Chair indicated, we’ve already received the first €20 million. With regards to the contribution of the partner to Renovable, we are talking about €21 million. And lastly, with regards to OpEx, indeed, we do have a reduction between 2020 and 2021, because at the end of the contract of gas pipelines of €26 million, it’s true that at the same time we have an increase in electricity prices and CO2 and 80% of this increase that we see in OpEx, you will have seen this reflected in the regulated income since this is a parcel included by the regulation. Thank you.
Cesar Garcia Del Rio: Thank you. We continue the questions.
Operator: José Ruiz from Barclays. José, your line is open.
José Ruiz: Hello. Good morning to everybody. Thank you for answering my questions. I just have two. The first one is if you could just give us an idea at a European scale about the gas market, the supply and the sharp drop in gas stocks, to help us to understand how things are moving in the gas market in Europe. And on Page 22, what you talk about as discretionary cash flow to 2026, it drops by 4% compared to last year’s presentation. I would like to know the reason. It seems that it’s related to volatility in working capital, but I don’t know if you have any explanations? Thank you.
Antonio Llardén: Thank you very much, José Javier. Let’s see. We are currently facing a very complex moment for the gas world in general around the world and specifically in Europe. The Spanish position, I mentioned earlier, is slightly better because we have the possibility to receive supplies through pipelines, but also from vessels. So this gives us peace of mind. And it’s true that right now with geopolitical incidents of things happening in Europe, this questions perhaps the security of worldwide supply. And in fact, recently, I went to a dinner with the Commission of Energy, and this took up a lot of the conversation. In Spain specifically, which is what I can give most information about, as you know we have good capacity right now for the storage, both in tanks and underground. And above all, we have hugely increased the arrival of LNG from different parts of the world, and this is helping us. We have a good relationship with Algeria and we have important flow through the pipelines. And this is allowing us to face this winter with peace of mind. And in Europe as a whole, it’s important to take a future perspective, not just thinking of the coming weeks. I mean we have no crystal ball, but we need to think of middle term. If the political situation becomes more relaxed, well, the gas from Russia will continue to be important. And this will be important to Russia as well from an economic point of view. So if we talk in the midterm, we should forget about that. Secondly, the possibility of using the LNG infrastructure is more in Europe in general and specifically on the Iberian Peninsula, it’s clearly in the mind of the EU right now and the commissioner explained this very clearly. And always, we’re talking midterm. I’m not saying that this is going to start next month. Also, for the first time in the EU, we have had talk of a joint policy for strategic storage of gas. This is an idea which a year ago just simply did not exist, it was not on the table. Now it is being discussed. The DSOs right now, we are working together, and of course, obviously, with the support of our governments and the EU to look at the technical side of this issue. So I think we need to look at this not in the short-term, because we don’t know what will happen, but from the short to medium term, we can have a set degree of peace of mind, and countries that supply gas in general terms are countries for which this income is essential for their economic stability. So I think that things will stabilize. Right now, we have an increase in prices, which is something we’ve never seen in the past. Prices in the United States are much lower, much cheaper. And it’s true that this has a positive aspect. It means that the exports to U.S. which at the start, was not a project perhaps 5, 10 years ago. Companies didn’t see this as a great objective, but right now the U.S. is exporting around 20% of the gases produced in the United States. And it’s true that they can produce more gas. So sometimes we have to look for big solution and sometimes we find new sources of supply. In Australia, for example, and in Qatar, there are projects to increase their capacity for exporting and for producing liquid gas. In the short to medium term, I would say that the gas market is going to be able to provide an answer to the uncertainties that exist now, although it’s true that the EU will need to have an energy policy which was not previously set out in the statute. So there was no energy policy as such for the union in the past. This is why each country has its own metrics. If you compare the energy metrics of the top four countries according to GDP and population, Spain, France, Germany and Italy, we have energy metrics which are really different. And the EU, well, is now getting involved because of the issue of decarbonization, which sets out very clear objectives, which are a great challenge. And this means it’s necessary to enter into energy policy matters. And to be very clear, if we talk about the security of supply, this makes it essential to offer a joint answer and to have joint policies for the security of supply. And here, specifically, I’m referring to gas. And this is why work is being done in this direction. In the short-term, I can’t say how it will go. It will depend on the developments of EU policy. And in this regard, I think it’s important, and it’s a good decision by the Spanish government and by other governments to start to talk with the commission about subjects related to energy policy, which I would repeat had not been included in the EU’s activities since the year 1956. And each country was dealing with it and managing it in their own way. We had a competition policy in the EU and we have an environmental policy at the European level, but there had never been a specific energy policy at the European level and this is changing at very fast speed. We won’t be able to solve it in 6 months, but I think over the next 2, 3 years and coinciding with the acceleration of the decarbonization plan for the EU, we are going to see important changes, and I see this as a positive thing. I’m saying this in a positive way. And for the TSOs, well, we will have an obvious role in all of this. And there is a specific question, which I would ask Borja to answer. Thank you.
Borja García-Alarcón: Thank you. If we talk about the discretionary cash flow that we presented last year, that included 2021 to 2026. But this time what we are including, from ‘22 to ‘26. We’re talking about €100 million difference. And so in annual terms, it’s practically the same amount.
Cesar Garcia Del Rio: Thank you. We will continue with the questions. [Foreign Language]
Operator: The next question comes from Ignacio Doménech from JB Capital. Ignacio, the line is open.
Ignacio Doménech: Hello. Good morning. Coming back to the question by Javier Suarez, you mentioned an injection of €21 million by Ardian and Five T, and €47 million, that figure was mentioned. Could you talk a little bit more about the financial details of that deal? And if we talk about Enagás Renovable, talk about the commitments of Ardian and the sale of 30% initially. Do you expect Ardian to increase the position? And another question regarding Peru and the forecast of the government repatriating dividends, the issue of the repatriation of the dividends and perhaps the speed of this and with regards to the affiliates, could you clarify the breakdown for 2021. I’m sorry, the sound was very poor quality? It was difficult to understand those questions.
Antonio Llardén: Thank you very much. With regard to Ardian, well, the Chief Financial Officer already talked about that. The company has been valued at €70 million. And so what Ardian offers is 30%. And this means that with the company, well, it cost us almost nothing, then we have a capital gain of practically 100%. Regarding Peru, indeed, we have begun, and they have accepted the procedure in the World Bank regarding the repatriation of dividends. And in the period that we have set out, we hope to recover them. And with regards to breakdown, I would ask Cesar Garcia Del Rio to answer and perhaps afterwards you could provide detailed information to Ignacio.
Cesar Garcia Del Rio: So, if we talk about Ardian, it’s very simple. We established with a large fund, we have established partnership, both of us together, with the idea of moving forward with projects and with the company. And we have normal partnership agreements for this kind of project. It’s a long-term project. And the idea is to bring together our technological capacity, to be honest, and their investment capacity and their technological capacity. We believe that we can do things together with great strength and we are going to start working on that. But obviously, we have to start working in the management team over the next few days and to look at the projects that will take priority. And we will keep you updated on a regular basis of how we progress in this terrain. Thank you very much.
Operator: There are no further questions in the Spanish room. We are now going to continue with questions in the English room. [Operator Instructions] We will be taking our first question today from Harry Wyburd of Bank of America. Harry, over to you.
Harry Wyburd: Hi. Good morning everyone. Thanks very much for taking my questions. Most of these are follow-ups to ones we have had already. So firstly, on the hydrogen investments and the next-generation EU funds, I think I heard from the translation earlier that you are expecting more clarity later in the year in terms of the funding, specifically from EU grants. But I wondered if you could give us a bit more color on how much potential grant income do you think you could get on these projects? And do I understand correctly that you would still go ahead with them even if some of them weren’t selected for a grant. So, I just want to understand how important and how material are the grant receipts on those hydrogen projects? Second one is on Quintero. I believe the press has suggested that you may be looking at selling your stake in Quintero, but as far as I heard, that’s not something you mentioned today. So, I just wondered if there is any update on your intentions for your stake in Quintero. And then finally, just a follow-up on the dividends from Tallgrass. I know this got covered in some other questions, but just to make sure I am very clear. So, you are estimating about €40 million to €60 million of dividend receipts for Enagás this year. I think in the slides, if you look at Page 23, you are effectively assuming, if I have done my math right, about €106 million a year average dividends from Tallgrass over the next sort of 4 years to 5 years. So, if I understood correctly, does that mean that these are very, very much backdated. So, do you expect the dividends to be much higher in sort of ‘25, ‘26 than they are today. So, just a bit of clarity on the phasing there would be very helpful. Thank you.
Antonio Llardén: Thank you, Harry, for your question. Right now, our projects in the pipeline and all the operators that are working on other hydrogen-related projects, you know that there are next-generation projects and other projects. So, we have the possibility of receiving grants in order to balance out some projects that perhaps are not fully profitable at this point in time. If a project is not profitable, even if it’s given grants, it will not be executed. For that reason, the decarbonization project in Europe is right now so important, not only because it’s intended to contribute to decarbonization, but also because European administrations must be able to identify the projects that are meaningful and the funds or grants they may require to execute them. It’s quite evident that we cannot actually base – decarbonization cannot be supported by grants all the time. Company efficiency will be critical, therefore. For that reason, in Spain and current Europe, we are paying close attention to further discussions with EU authorities. We have a number of projects in our pipeline, which are aimed at attaining decarbonization targets, but they are also tied to efficiency. So, that’s all I can say right now. If there are projects that even if they are financed through these EU grants, if they prove not to be technically efficient, those projects will not be ultimately executed. For that reason, our decarbonization targets and projects are not just about doing this. Actually, we will have to work hand-in-hand with EU administrations to render these projects efficient from a technological and business perspective, so that everything works properly. As for Quintero, we have an asset rotation policy in place that is well known, that is concerned with all of our assets. We do not disclose information about private processes in this regard. But if we eventually come to any specific decision, well, we disclose that timely. For the time being, I have nothing else to say about this. And as for Tallgrass, for the period, we have considered a dividend average. Of course, this number is not the same year-on-year. Actually, this grows year-on-year, and that’s why we have a difference between the average and the current amount. I believe that I have, therefore, answered all of your questions.
Operator: Thank you. We will be taking our next question from Arthur Sitbon of Morgan Stanley. Arthur, over to you.
Arthur Sitbon: Hello. Thank you for taking my questions. The first question is about the EU gas market package. To me, it’s talking about various levels of unbundling between hydrogen networks on one side and other energy networks as well as production and supply of energy. So, I was wondering what makes you confident that with the current structure of Enagás, you can compile your traditional gas network activities and investments and as well potentially hydrogen network investments and broader hydrogen investments. And whether or not there could be a change of structure of the company to consider at some point to have both these investments road-mapped to conduct it. That’s one. The second question, I was wondering if the €4.5 billion of investment on hydrogen includes investments also in the Spanish gas grid to retrofit pipes and potentially build new pipes dedicated to hydrogen. So essentially, I am talking about the European backbone work that you showed on one of the slides. And yes, that’s it from me. Thank you very much.
Antonio Llardén: Thank you very much, Arthur Sitbon, for your question. Well, the EU and Enagás as a TSO, we are working in Brussels through the SOG and the European Hydrogen Backbone in order to deal with these issues. Well, the EU has clearly established that the gas infrastructure network continues to play a key role to energy in Europe in order to be complementary to gas supply. But it’s also critical to carry hydrogen through different channels. The EU, therefore, speaks about the continuity of the TSO model into the future with the necessary unbundling. It also speaks for the first time about the existence of a TSO that could be a gas TSO or a hydrogen TSO. And now they speak about the hydrogen network operator. No formal decision has been made yet as to whether such functions could be merged into a single company or whether these could be two functions that could be performed by the TSO with separate affiliates with clear divisions between them. So, either model would perfectly fit into Enagás’ approach. At Enagás, we already have regulated a transmission system that has Chinese walls with other activities performed by the company. So, we will have to wait how this evolves. I believe that within 1.5 years to 2.5 years, a final decision will be made by the EU in this regard. Then there can be other activities going beyond transmission that could also be performed. Perhaps we could have Enagás Renovable as a company in itself. That could also be provided with some kind of Chinese wall. We will have to see how this definition will eventually play out. In my personal opinion, as far as I know, and based on our discussions with authorities in Brussels, they believe that decarbonization is not just a technological process, but rather a process that will contribute to the creation of new markets. Every time we replace an industry that is used in a certain kind of fuel for green hydrogen, we are not talking just about that particular operation. This means that a market will have to be created that will have to work naturally and that will have to have some supply security. For example, it will need some power security. Therefore, creating that market, it’s to see if we were creating the gas market from scratch. Europe has this very clear, and that’s why TSO now can play this role apart from that of other operators. Now talking about potential investments, those €4.4 billion referred to full hydrogen related projects, generation projects. Apart from this, let me try to shed more light on the topic. The current gas pipeline across Europe requires some investments, which perhaps are not very high, but are required in order to adapt them to decarbonization and to the potential use of such gas pipelines for hydrogen, whether we are talking about blending or whether we need to separate some gas pipes that can be used only to carry hydrogen. So, we will require some investments here. We are talking about compression stations, we are talking about metering systems, but all these at the end of the day would require certain investments. But we are not going to talk about that today. At some point in time and in certain sections along countries, particularly gas pipeline network, we will have how we segregate the network in order to carry hydrogen only. So, we will have to start with those sections that perhaps cover point 8B, perhaps consumption went up afterwards and, therefore a second gas pipeline was required afterwards. So in all countries, we have experience in this regard. Even in our own network in Spain, we have clearly identified three key pillars, which at some point in time might be unbundled. And this – so, this is the second point. And thirdly, and perhaps this will all happen at the same time, but we will have to see at which pace, perhaps there will be some hydrogen transmission that will be done through a new gas pipeline that is specifically built for hydrogen, if so required. In this respect, the EU thinks that, overall, 70% of transmission might be done through the current network that perhaps would require some streamlining, and another 30% might consist of new gas pipelines. So, talking about supply security, we had to speak about underground storage, hydrogen can be stored underground. And perhaps chemically speaking, it’s easier to store hydrogen than natural gas, but that means that in all countries, special policies will have to be implemented. This has not been planned yet, but the use of green hydrogen for the 2040, 2050 period means that there will be a network that will consist of natural gas and green hydrogen through underground storage facilities. So right now, the EU launched a paper in December, which we find quite interesting. This paper will be discussed by the European commission and parliament for 1 year. And once it becomes a directive, we will have more specific terms. As a TSO working with other European TSOs, we are constantly in contact with Spanish authorities and European authorities to analyze the various alternatives. But so far, no final decision has been made as to how this would work. So, this is connected to the projects that are launched by the EU countries and at the pace of which such projects are launched. So, in brief, today, there is no renewable hydrogen market in place. There are some pilot tests. Perhaps 20 years down the road, things will be different, or perhaps in 10 years or 15 years, there will be such a market. And to that end, we need some grids and networks that will provide the necessary supply. We also need production and we, of course, need a customer base on the other hand. So, in most cases and in most of the projects in which we are involved at Enagás, we have always tried to partner up with the right companies, trying to cover the full cycle. So, we are in the business of generation, and we also try to look at the end customers all the time. Otherwise, we would just be growing potatoes, but we would be growing potatoes with no customers. So, we want to start growing potatoes if we have the customers. So, the Energy Commissioner and EU authorities have this quite clear. They know that eventually, we have to create a market that provides renewable gas that is complementary to electrification and that this market works as automatically as possible. I know that my answer has been rather long, but I hope that in forthcoming meetings we will be able to elaborate further on these issues. Thank you.
Operator: Thank you. We will be taking our next question from James Brand of Deutsche Bank. James, the floor is yours.
James Brand: Thanks. Enagás presentation, I just had some clarifications on this transaction and the growth opportunities that would go to this entity. So just to clarify, this Enagás Renovable entity, where you have sold the stake, that will get all of the non-regulated hydrogen growth opportunities that you pursue? Is that how it works? So, any non-regulated hydrogen growth opportunity that entity will get kind of right to first refusal and your share of 30% of the economics with this partner that you have brought in just to the case. And then in terms of the rationale, is it really just you think the funding requirement is too big, so you need to bring in a partner? Is that the main rationale? Because it seems like quite a big share of the growth opportunity that you are giving out for decent capital gain, but it’s not that big in the scheme of things. Thanks very much.
Antonio Llardén: Thank you very much, James, for your question. Okay. I believe that we have already covered part of this question with previous answers. Right now, we are working with the document that was issued by the European Commission in December. But the TSOs usually meet regularly. We speak with EU authorities on an ongoing basis. However, we do not have a final regulation yet. Now talking specifically about TSOs, we believe that there are three options here. Perhaps the current gas networks that will continue to be regulated will have all the same to carry out some investments, so that such networks can have hydrogen, whether we are talking about blended or 100% hydrogen, and some technical specifications will have to be considered. Now there is another possibility. Perhaps in the future there will be a hydrogen network operator that will be compatible with TSO. We don’t know whether TSOs will be the only ones doing this. Eventually, TSO will be able to do this, however. So, according to the document we have right now, these might be regulated whether technically or from a tool perspective, but not necessarily according to the same regulations that apply to gas. In that case, and this could apply to Fluxys or other companies. So, perhaps we might eventually have a gas TSO that will fulfill certain functions and then a hydrogen network operator that will take care of other functions within the same company, but with some kind of Chinese wall in between. This is something that is quite common in the financial world. And then there is a third alternative, which perhaps will not be regulated regardless of some EU funding that may be received. And this might be an upstream or downstream approach to renewable gases and hydrogen. For that reason, in the case of Enagás Renovable, we believe that some activities will not be regulated. Regulated activities could not actually go in this direction. For that reason, having powerful partners who have good ideas and who are financially sound is so important, because here we are talking about creating a renewable gas and green hydrogen market. And this will take time. It’s going to be a lengthy process. And this is something that has to happen across Europe, and it has to be duly coordinated. It will require funding regardless of the funds provided by the EU. And of course, if funding comes from different parties rather than doing this in an isolated manner. This is not something that will happen next year. Please remember that based on the figures disclosed by the European Union for 2030, if we fulfill the pace of decarbonization intended by Europe, it’s quite clear that the most important European country from an economic perspective, let’s just say, Germany, according to studies carried out by Germany, the green hydrogen that this country will require by 2040, cannot be produced by Germany alone. And this is very important, and this is something that can be extrapolated to all countries, or Turkey cannot exist when it comes to decarbonization. This means that there will be some internal imports and exports within Europe and outside of Europe. I am sure that you and all investors know that there will be a gas network that will be able to a larger or lesser extent to interconnect countries, and that is interconnected to other countries outside of Europe. So, this is the model that we expect. Part of this model will be regulated. The other part will not. TSOs and Enagás specifically will have to, well, analyze what the European Union is proposing and strike a balance. So, there three possible directions in this regard, but everything will have to be coordinated within the company. So, that’s our approach for the time being.
Operator: Thank you very much for your questions. We have come to an end. Thank you very much for joining this conference call.